Operator: Good morning, and welcome to the Netcapital Inc. Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] We will open the floor for your questions and comments after the presentation. [Operator Instructions]. It's now my pleasure to turn the floor over to your host, Coreen Kraysler, CFO of Netcapital Inc. Coreen, the floor is yours.
Coreen Kraysler: Thank you, Tom. Good morning, everyone, and thank you for joining Netcapital's Third Quarter Fiscal 2025 Financial Results Call. I'm Coreen Kraysler, CEO of Netcapital Inc. and I will begin by reviewing our financial results; and then our Chief Executive Officer, Martin Kay will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from any future results, levels of activities, performance or achievements expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations results of operations, growth strategies, liquidity and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the second quarter fiscal 2025. Revenues for the three months ended January 31st, 2025 decreased by $890,111 or approximately 85% to $152,682 as compared to $1,042,793 during the three months ended January 31st, 2024. The decline in revenue was attributed to the lack of consulting service revenue for equity securities in Q3 2025, as compared to revenue of $862,346 for consulting services for equity securities in Q3 2024. In fiscal 2025, management has progressed on establishing our broker-dealer subsidiary to gain additional sources of revenue and we have not been pursuing the equity-based revenue contracts. On November 22nd, 2024, we received FINRA approval for our broker-dealer subsidiary, Netcapital Securities, Inc. We reported an operating loss of $1,687,692 for the third quarter fiscal 2025, as compared to an operating loss of $1,205,157 for the third quarter of fiscal 2024. We reported a net loss for the third quarter of fiscal 2025 and of approximately $3,006,537 as compared to a net loss of approximately $2.2 million for the same period in the prior year. Third quarter results reflect an impairment charge of $1.3 million for one of our portfolio companies. We reported a net loss per share of $1.57 EPS for the third quarter, compared to EPS of a loss of $13.60 a share for the same period in prior year. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you to all our shareholders for being on this call today and for your continued interest and support of the company. As you heard from Coreen, we did face a tough time during the quarter. From a revenue perspective, we had a decrease, which we already touched on. And while I don't want to diminish this, I do want to look at a major success we had during the quarter with our wholly-owned subsidiary Netcapital Securities, Inc., or NSI becoming a broker dealer. During the year, as a company, we have shifted some focus towards the goal of establishing Netcapital Securities as a broker-dealer, and we successfully completed this goal following approval Financial Industry Regulatory Authority, or FINRA in November. NSI is now approved to do three things: First, handle private placements of securities as well as referral business. Second, support companies raising equity capital under Reg A and Reg D enabling larger fundraises and potentially attracting a broader range of issuers. And thirdly, partnering with other broker-dealers. Looking forward, we are pleased that GenOn Neuroscience, Inc. recently engaged Netcapital securities before one of those planned Regulation A or Reg A offerings and to provide broker-dealer and administrative services. So although the market environment remains uncertain, management remains cautiously optimistic and we look forward to keeping you updated on our progress. As always, thank you for your interest and support of Netcapital. And operator, we are ready for questions.
Operator:
Martin Kay: Okay. Thank you, Tom, and thanks, Coreen, our CFO, and thank you all for joining and again, for your continued interest and support of the company. Take care. Thank you.
Operator: This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.Operator: Good morning, and welcome to the Netcapital Inc. Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] We will open the floor for your questions and comments after the presentation. [Operator Instructions]. It's now my pleasure to turn the floor over to your host, Coreen Kraysler, CFO of Netcapital Inc. Coreen, the floor is yours.
Coreen Kraysler: Thank you, Tom. Good morning, everyone, and thank you for joining Netcapital's Third Quarter Fiscal 2025 Financial Results Call. I'm Coreen Kraysler, CEO of Netcapital Inc. and I will begin by reviewing our financial results; and then our Chief Executive Officer, Martin Kay will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from any future results, levels of activities, performance or achievements expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations results of operations, growth strategies, liquidity and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the second quarter fiscal 2025. Revenues for the three months ended January 31st, 2025 decreased by $890,111 or approximately 85% to $152,682 as compared to $1,042,793 during the three months ended January 31st, 2024. The decline in revenue was attributed to the lack of consulting service revenue for equity securities in Q3 2025, as compared to revenue of $862,346 for consulting services for equity securities in Q3 2024. In fiscal 2025, management has progressed on establishing our broker-dealer subsidiary to gain additional sources of revenue and we have not been pursuing the equity-based revenue contracts. On November 22nd, 2024, we received FINRA approval for our broker-dealer subsidiary, Netcapital Securities, Inc. We reported an operating loss of $1,687,692 for the third quarter fiscal 2025, as compared to an operating loss of $1,205,157 for the third quarter of fiscal 2024. We reported a net loss for the third quarter of fiscal 2025 and of approximately $3,006,537 as compared to a net loss of approximately $2.2 million for the same period in the prior year. Third quarter results reflect an impairment charge of $1.3 million for one of our portfolio companies. We reported a net loss per share of $1.57 EPS for the third quarter, compared to EPS of a loss of $13.60 a share for the same period in prior year. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you to all our shareholders for being on this call today and for your continued interest and support of the company. As you heard from Coreen, we did face a tough time during the quarter. From a revenue perspective, we had a decrease, which we already touched on. And while I don't want to diminish this, I do want to look at a major success we had during the quarter with our wholly-owned subsidiary Netcapital Securities, Inc., or NSI becoming a broker dealer. During the year, as a company, we have shifted some focus towards the goal of establishing Netcapital Securities as a broker-dealer, and we successfully completed this goal following approval Financial Industry Regulatory Authority, or FINRA in November. NSI is now approved to do three things: First, handle private placements of securities as well as referral business. Second, support companies raising equity capital under Reg A and Reg D enabling larger fundraises and potentially attracting a broader range of issuers. And thirdly, partnering with other broker-dealers. Looking forward, we are pleased that GenOn Neuroscience, Inc. recently engaged Netcapital securities before one of those planned Regulation A or Reg A offerings and to provide broker-dealer and administrative services. So although the market environment remains uncertain, management remains cautiously optimistic and we look forward to keeping you updated on our progress. As always, thank you for your interest and support of Netcapital. And operator, we are ready for questions.
Operator:
Martin Kay: Okay. Thank you, Tom, and thanks, Coreen, our CFO, and thank you all for joining and again, for your continued interest and support of the company. Take care. Thank you.
Operator: This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.Operator: Good morning, and welcome to the Netcapital Inc. Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] We will open the floor for your questions and comments after the presentation. [Operator Instructions]. It's now my pleasure to turn the floor over to your host, Coreen Kraysler, CFO of Netcapital Inc. Coreen, the floor is yours.
Coreen Kraysler: Thank you, Tom. Good morning, everyone, and thank you for joining Netcapital's Third Quarter Fiscal 2025 Financial Results Call. I'm Coreen Kraysler, CEO of Netcapital Inc. and I will begin by reviewing our financial results; and then our Chief Executive Officer, Martin Kay will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from any future results, levels of activities, performance or achievements expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations results of operations, growth strategies, liquidity and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the second quarter fiscal 2025. Revenues for the three months ended January 31st, 2025 decreased by $890,111 or approximately 85% to $152,682 as compared to $1,042,793 during the three months ended January 31st, 2024. The decline in revenue was attributed to the lack of consulting service revenue for equity securities in Q3 2025, as compared to revenue of $862,346 for consulting services for equity securities in Q3 2024. In fiscal 2025, management has progressed on establishing our broker-dealer subsidiary to gain additional sources of revenue and we have not been pursuing the equity-based revenue contracts. On November 22nd, 2024, we received FINRA approval for our broker-dealer subsidiary, Netcapital Securities, Inc. We reported an operating loss of $1,687,692 for the third quarter fiscal 2025, as compared to an operating loss of $1,205,157 for the third quarter of fiscal 2024. We reported a net loss for the third quarter of fiscal 2025 and of approximately $3,006,537 as compared to a net loss of approximately $2.2 million for the same period in the prior year. Third quarter results reflect an impairment charge of $1.3 million for one of our portfolio companies. We reported a net loss per share of $1.57 EPS for the third quarter, compared to EPS of a loss of $13.60 a share for the same period in prior year. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you to all our shareholders for being on this call today and for your continued interest and support of the company. As you heard from Coreen, we did face a tough time during the quarter. From a revenue perspective, we had a decrease, which we already touched on. And while I don't want to diminish this, I do want to look at a major success we had during the quarter with our wholly-owned subsidiary Netcapital Securities, Inc., or NSI becoming a broker dealer. During the year, as a company, we have shifted some focus towards the goal of establishing Netcapital Securities as a broker-dealer, and we successfully completed this goal following approval Financial Industry Regulatory Authority, or FINRA in November. NSI is now approved to do three things: First, handle private placements of securities as well as referral business. Second, support companies raising equity capital under Reg A and Reg D enabling larger fundraises and potentially attracting a broader range of issuers. And thirdly, partnering with other broker-dealers. Looking forward, we are pleased that GenOn Neuroscience, Inc. recently engaged Netcapital securities before one of those planned Regulation A or Reg A offerings and to provide broker-dealer and administrative services. So although the market environment remains uncertain, management remains cautiously optimistic and we look forward to keeping you updated on our progress. As always, thank you for your interest and support of Netcapital. And operator, we are ready for questions.
Operator:
Martin Kay: Okay. Thank you, Tom, and thanks, Coreen, our CFO, and thank you all for joining and again, for your continued interest and support of the company. Take care. Thank you.
Operator: This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.Operator: Good morning, and welcome to the Netcapital Inc. Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] We will open the floor for your questions and comments after the presentation. [Operator Instructions]. It's now my pleasure to turn the floor over to your host, Coreen Kraysler, CFO of Netcapital Inc. Coreen, the floor is yours.
Coreen Kraysler: Thank you, Tom. Good morning, everyone, and thank you for joining Netcapital's Third Quarter Fiscal 2025 Financial Results Call. I'm Coreen Kraysler, CEO of Netcapital Inc. and I will begin by reviewing our financial results; and then our Chief Executive Officer, Martin Kay will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from any future results, levels of activities, performance or achievements expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations results of operations, growth strategies, liquidity and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the second quarter fiscal 2025. Revenues for the three months ended January 31st, 2025 decreased by $890,111 or approximately 85% to $152,682 as compared to $1,042,793 during the three months ended January 31st, 2024. The decline in revenue was attributed to the lack of consulting service revenue for equity securities in Q3 2025, as compared to revenue of $862,346 for consulting services for equity securities in Q3 2024. In fiscal 2025, management has progressed on establishing our broker-dealer subsidiary to gain additional sources of revenue and we have not been pursuing the equity-based revenue contracts. On November 22nd, 2024, we received FINRA approval for our broker-dealer subsidiary, Netcapital Securities, Inc. We reported an operating loss of $1,687,692 for the third quarter fiscal 2025, as compared to an operating loss of $1,205,157 for the third quarter of fiscal 2024. We reported a net loss for the third quarter of fiscal 2025 and of approximately $3,006,537 as compared to a net loss of approximately $2.2 million for the same period in the prior year. Third quarter results reflect an impairment charge of $1.3 million for one of our portfolio companies. We reported a net loss per share of $1.57 EPS for the third quarter, compared to EPS of a loss of $13.60 a share for the same period in prior year. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you to all our shareholders for being on this call today and for your continued interest and support of the company. As you heard from Coreen, we did face a tough time during the quarter. From a revenue perspective, we had a decrease, which we already touched on. And while I don't want to diminish this, I do want to look at a major success we had during the quarter with our wholly-owned subsidiary Netcapital Securities, Inc., or NSI becoming a broker dealer. During the year, as a company, we have shifted some focus towards the goal of establishing Netcapital Securities as a broker-dealer, and we successfully completed this goal following approval Financial Industry Regulatory Authority, or FINRA in November. NSI is now approved to do three things: First, handle private placements of securities as well as referral business. Second, support companies raising equity capital under Reg A and Reg D enabling larger fundraises and potentially attracting a broader range of issuers. And thirdly, partnering with other broker-dealers. Looking forward, we are pleased that GenOn Neuroscience, Inc. recently engaged Netcapital securities before one of those planned Regulation A or Reg A offerings and to provide broker-dealer and administrative services. So although the market environment remains uncertain, management remains cautiously optimistic and we look forward to keeping you updated on our progress. As always, thank you for your interest and support of Netcapital. And operator, we are ready for questions.
Operator:
Martin Kay: Okay. Thank you, Tom, and thanks, Coreen, our CFO, and thank you all for joining and again, for your continued interest and support of the company. Take care. Thank you.
Operator: This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.Operator: Good morning, and welcome to the Netcapital Inc. Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] We will open the floor for your questions and comments after the presentation. [Operator Instructions]. It's now my pleasure to turn the floor over to your host, Coreen Kraysler, CFO of Netcapital Inc. Coreen, the floor is yours.
Coreen Kraysler: Thank you, Tom. Good morning, everyone, and thank you for joining Netcapital's Third Quarter Fiscal 2025 Financial Results Call. I'm Coreen Kraysler, CEO of Netcapital Inc. and I will begin by reviewing our financial results; and then our Chief Executive Officer, Martin Kay will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from any future results, levels of activities, performance or achievements expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations results of operations, growth strategies, liquidity and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the second quarter fiscal 2025. Revenues for the three months ended January 31st, 2025 decreased by $890,111 or approximately 85% to $152,682 as compared to $1,042,793 during the three months ended January 31st, 2024. The decline in revenue was attributed to the lack of consulting service revenue for equity securities in Q3 2025, as compared to revenue of $862,346 for consulting services for equity securities in Q3 2024. In fiscal 2025, management has progressed on establishing our broker-dealer subsidiary to gain additional sources of revenue and we have not been pursuing the equity-based revenue contracts. On November 22nd, 2024, we received FINRA approval for our broker-dealer subsidiary, Netcapital Securities, Inc. We reported an operating loss of $1,687,692 for the third quarter fiscal 2025, as compared to an operating loss of $1,205,157 for the third quarter of fiscal 2024. We reported a net loss for the third quarter of fiscal 2025 and of approximately $3,006,537 as compared to a net loss of approximately $2.2 million for the same period in the prior year. Third quarter results reflect an impairment charge of $1.3 million for one of our portfolio companies. We reported a net loss per share of $1.57 EPS for the third quarter, compared to EPS of a loss of $13.60 a share for the same period in prior year. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you to all our shareholders for being on this call today and for your continued interest and support of the company. As you heard from Coreen, we did face a tough time during the quarter. From a revenue perspective, we had a decrease, which we already touched on. And while I don't want to diminish this, I do want to look at a major success we had during the quarter with our wholly-owned subsidiary Netcapital Securities, Inc., or NSI becoming a broker dealer. During the year, as a company, we have shifted some focus towards the goal of establishing Netcapital Securities as a broker-dealer, and we successfully completed this goal following approval Financial Industry Regulatory Authority, or FINRA in November. NSI is now approved to do three things: First, handle private placements of securities as well as referral business. Second, support companies raising equity capital under Reg A and Reg D enabling larger fundraises and potentially attracting a broader range of issuers. And thirdly, partnering with other broker-dealers. Looking forward, we are pleased that GenOn Neuroscience, Inc. recently engaged Netcapital securities before one of those planned Regulation A or Reg A offerings and to provide broker-dealer and administrative services. So although the market environment remains uncertain, management remains cautiously optimistic and we look forward to keeping you updated on our progress. As always, thank you for your interest and support of Netcapital. And operator, we are ready for questions.
Operator:
Martin Kay: Okay. Thank you, Tom, and thanks, Coreen, our CFO, and thank you all for joining and again, for your continued interest and support of the company. Take care. Thank you.
Operator: This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.Operator: Good morning, and welcome to the Netcapital Inc. Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] We will open the floor for your questions and comments after the presentation. [Operator Instructions]. It's now my pleasure to turn the floor over to your host, Coreen Kraysler, CFO of Netcapital Inc. Coreen, the floor is yours.
Coreen Kraysler: Thank you, Tom. Good morning, everyone, and thank you for joining Netcapital's Third Quarter Fiscal 2025 Financial Results Call. I'm Coreen Kraysler, CEO of Netcapital Inc. and I will begin by reviewing our financial results; and then our Chief Executive Officer, Martin Kay will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from any future results, levels of activities, performance or achievements expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations results of operations, growth strategies, liquidity and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the second quarter fiscal 2025. Revenues for the three months ended January 31st, 2025 decreased by $890,111 or approximately 85% to $152,682 as compared to $1,042,793 during the three months ended January 31st, 2024. The decline in revenue was attributed to the lack of consulting service revenue for equity securities in Q3 2025, as compared to revenue of $862,346 for consulting services for equity securities in Q3 2024. In fiscal 2025, management has progressed on establishing our broker-dealer subsidiary to gain additional sources of revenue and we have not been pursuing the equity-based revenue contracts. On November 22nd, 2024, we received FINRA approval for our broker-dealer subsidiary, Netcapital Securities, Inc. We reported an operating loss of $1,687,692 for the third quarter fiscal 2025, as compared to an operating loss of $1,205,157 for the third quarter of fiscal 2024. We reported a net loss for the third quarter of fiscal 2025 and of approximately $3,006,537 as compared to a net loss of approximately $2.2 million for the same period in the prior year. Third quarter results reflect an impairment charge of $1.3 million for one of our portfolio companies. We reported a net loss per share of $1.57 EPS for the third quarter, compared to EPS of a loss of $13.60 a share for the same period in prior year. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you to all our shareholders for being on this call today and for your continued interest and support of the company. As you heard from Coreen, we did face a tough time during the quarter. From a revenue perspective, we had a decrease, which we already touched on. And while I don't want to diminish this, I do want to look at a major success we had during the quarter with our wholly-owned subsidiary Netcapital Securities, Inc., or NSI becoming a broker dealer. During the year, as a company, we have shifted some focus towards the goal of establishing Netcapital Securities as a broker-dealer, and we successfully completed this goal following approval Financial Industry Regulatory Authority, or FINRA in November. NSI is now approved to do three things: First, handle private placements of securities as well as referral business. Second, support companies raising equity capital under Reg A and Reg D enabling larger fundraises and potentially attracting a broader range of issuers. And thirdly, partnering with other broker-dealers. Looking forward, we are pleased that GenOn Neuroscience, Inc. recently engaged Netcapital securities before one of those planned Regulation A or Reg A offerings and to provide broker-dealer and administrative services. So although the market environment remains uncertain, management remains cautiously optimistic and we look forward to keeping you updated on our progress. As always, thank you for your interest and support of Netcapital. And operator, we are ready for questions.
Operator:
Martin Kay: Okay. Thank you, Tom, and thanks, Coreen, our CFO, and thank you all for joining and again, for your continued interest and support of the company. Take care. Thank you.
Operator: This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.Operator: Good morning, and welcome to the Netcapital Inc. Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] We will open the floor for your questions and comments after the presentation. [Operator Instructions]. It's now my pleasure to turn the floor over to your host, Coreen Kraysler, CFO of Netcapital Inc. Coreen, the floor is yours.
Coreen Kraysler: Thank you, Tom. Good morning, everyone, and thank you for joining Netcapital's Third Quarter Fiscal 2025 Financial Results Call. I'm Coreen Kraysler, CEO of Netcapital Inc. and I will begin by reviewing our financial results; and then our Chief Executive Officer, Martin Kay will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from any future results, levels of activities, performance or achievements expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations results of operations, growth strategies, liquidity and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the second quarter fiscal 2025. Revenues for the three months ended January 31st, 2025 decreased by $890,111 or approximately 85% to $152,682 as compared to $1,042,793 during the three months ended January 31st, 2024. The decline in revenue was attributed to the lack of consulting service revenue for equity securities in Q3 2025, as compared to revenue of $862,346 for consulting services for equity securities in Q3 2024. In fiscal 2025, management has progressed on establishing our broker-dealer subsidiary to gain additional sources of revenue and we have not been pursuing the equity-based revenue contracts. On November 22nd, 2024, we received FINRA approval for our broker-dealer subsidiary, Netcapital Securities, Inc. We reported an operating loss of $1,687,692 for the third quarter fiscal 2025, as compared to an operating loss of $1,205,157 for the third quarter of fiscal 2024. We reported a net loss for the third quarter of fiscal 2025 and of approximately $3,006,537 as compared to a net loss of approximately $2.2 million for the same period in the prior year. Third quarter results reflect an impairment charge of $1.3 million for one of our portfolio companies. We reported a net loss per share of $1.57 EPS for the third quarter, compared to EPS of a loss of $13.60 a share for the same period in prior year. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you to all our shareholders for being on this call today and for your continued interest and support of the company. As you heard from Coreen, we did face a tough time during the quarter. From a revenue perspective, we had a decrease, which we already touched on. And while I don't want to diminish this, I do want to look at a major success we had during the quarter with our wholly-owned subsidiary Netcapital Securities, Inc., or NSI becoming a broker dealer. During the year, as a company, we have shifted some focus towards the goal of establishing Netcapital Securities as a broker-dealer, and we successfully completed this goal following approval Financial Industry Regulatory Authority, or FINRA in November. NSI is now approved to do three things: First, handle private placements of securities as well as referral business. Second, support companies raising equity capital under Reg A and Reg D enabling larger fundraises and potentially attracting a broader range of issuers. And thirdly, partnering with other broker-dealers. Looking forward, we are pleased that GenOn Neuroscience, Inc. recently engaged Netcapital securities before one of those planned Regulation A or Reg A offerings and to provide broker-dealer and administrative services. So although the market environment remains uncertain, management remains cautiously optimistic and we look forward to keeping you updated on our progress. As always, thank you for your interest and support of Netcapital. And operator, we are ready for questions.
Operator:
Martin Kay: Okay. Thank you, Tom, and thanks, Coreen, our CFO, and thank you all for joining and again, for your continued interest and support of the company. Take care. Thank you.
Operator: This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.Operator: Good morning, and welcome to the Netcapital Inc. Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] We will open the floor for your questions and comments after the presentation. [Operator Instructions]. It's now my pleasure to turn the floor over to your host, Coreen Kraysler, CFO of Netcapital Inc. Coreen, the floor is yours.
Coreen Kraysler: Thank you, Tom. Good morning, everyone, and thank you for joining Netcapital's Third Quarter Fiscal 2025 Financial Results Call. I'm Coreen Kraysler, CEO of Netcapital Inc. and I will begin by reviewing our financial results; and then our Chief Executive Officer, Martin Kay will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from any future results, levels of activities, performance or achievements expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations results of operations, growth strategies, liquidity and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the second quarter fiscal 2025. Revenues for the three months ended January 31st, 2025 decreased by $890,111 or approximately 85% to $152,682 as compared to $1,042,793 during the three months ended January 31st, 2024. The decline in revenue was attributed to the lack of consulting service revenue for equity securities in Q3 2025, as compared to revenue of $862,346 for consulting services for equity securities in Q3 2024. In fiscal 2025, management has progressed on establishing our broker-dealer subsidiary to gain additional sources of revenue and we have not been pursuing the equity-based revenue contracts. On November 22nd, 2024, we received FINRA approval for our broker-dealer subsidiary, Netcapital Securities, Inc. We reported an operating loss of $1,687,692 for the third quarter fiscal 2025, as compared to an operating loss of $1,205,157 for the third quarter of fiscal 2024. We reported a net loss for the third quarter of fiscal 2025 and of approximately $3,006,537 as compared to a net loss of approximately $2.2 million for the same period in the prior year. Third quarter results reflect an impairment charge of $1.3 million for one of our portfolio companies. We reported a net loss per share of $1.57 EPS for the third quarter, compared to EPS of a loss of $13.60 a share for the same period in prior year. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you to all our shareholders for being on this call today and for your continued interest and support of the company. As you heard from Coreen, we did face a tough time during the quarter. From a revenue perspective, we had a decrease, which we already touched on. And while I don't want to diminish this, I do want to look at a major success we had during the quarter with our wholly-owned subsidiary Netcapital Securities, Inc., or NSI becoming a broker dealer. During the year, as a company, we have shifted some focus towards the goal of establishing Netcapital Securities as a broker-dealer, and we successfully completed this goal following approval Financial Industry Regulatory Authority, or FINRA in November. NSI is now approved to do three things: First, handle private placements of securities as well as referral business. Second, support companies raising equity capital under Reg A and Reg D enabling larger fundraises and potentially attracting a broader range of issuers. And thirdly, partnering with other broker-dealers. Looking forward, we are pleased that GenOn Neuroscience, Inc. recently engaged Netcapital securities before one of those planned Regulation A or Reg A offerings and to provide broker-dealer and administrative services. So although the market environment remains uncertain, management remains cautiously optimistic and we look forward to keeping you updated on our progress. As always, thank you for your interest and support of Netcapital. And operator, we are ready for questions.
Operator:
Martin Kay: Okay. Thank you, Tom, and thanks, Coreen, our CFO, and thank you all for joining and again, for your continued interest and support of the company. Take care. Thank you.
Operator: This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.